Operator: Good day and welcome to the Kopin Corporation Fourth Quarter and Full-Year 2020 Earnings Conference Call. Today’s conference is being recorded. At this time, I like to turn the conference over to Chief Financial Officer, Richard Sneider. Please go ahead sir.
Richard Sneider: Thank you, operator. Welcome, everyone, and thank you for joining us this morning. John will begin today's call with a discussion about the market environment that we see and our progress in executing our strategy includes the sales activity and technology development. I will go through the fourth quarter results at a high level. John will conclude our prepared remarks, and then I will be happy to take your questions. I'd like to remind everyone that during today's call taking place on Tuesday, March 2, 2021; we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations, projections, beliefs, and estimates, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our products, operating results for our subsidiaries, market conditions, and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. The company undertakes no obligation to update the forward-looking statements made during today's call. And with that, I’ll turn the call over to John.
John Fan: Good morning. Thank you for joining us to discuss our fourth quarter and 2020 results. I'd like to start by expressing our hope that you and your families continue to stay well and safe during this pandemic time. We are delighted to have finished 2020 with very strong results of both our top and bottom line with full-year revenue growth of 36% year-over-year and increased efficiencies in our operations. Our fourth-quarter 2020 revenue growth was particularly strong going into 60% from a year-ago to $13.9 million. We also make great progress in streamlining our cost structure, along with increasing our private use and production efficiency, resulting in a net income of $1.3 million for the fourth quarter of 2020. We are very proud of this achievement. While the company works hard to achieve these wonderful results, our focus is on the longer-term. As demonstrated about the topic increase in R&D spending, which we believe will position the company well for the coming era of AR and VR. This could be one thing a decade of [killing] and radical transformation for handheld devices to hands-free devices. Now, let's go back to a more detailed discussion of our business. Our business was strong across multiple segments and now again led by our defense product revenues, which increased 112% in the fourth quarter of 2020, compared with the fourth quarter of 2019. This very significant increase was driven by our two production programs: the display sub-assembly system for the FWS-I thermal weapon sight program and displays for the F-35 fighter jet program. As announced in September 2020, we were awarded a $22.9 million follow-on contract for the FWS-I program, with shipments scheduled through the third quarter of this year. We expect these two production programs will continue to generate strong revenue in the coming years. We are also on track this year to transition three more products, out of a dozen programs currently in development, to initial low-rate production, with revenues expected to begin ramping in the second half of this year. We believe these programs will provide accelerated growth momentum for 2022 and beyond. Our active pipeline of development programs includes using our advanced display products in armored vehicle targeting systems, rotary-wing [aircraft flight helmets], automatic and semi-automatic rifle day scopes, and targeting systems, among other applications. These programs are related to AR/VR and are all using our advanced microdisplays, and also increasingly utilizing our sophisticated optical systems, electronics, and dust-free assemblies. We believe we are the sole source supplier to most of these programs. In the fourth quarter, we saw solid growth in our industrial wearable’s led by sales to RealWear located in Washington State along with sales to 3D metrology applications. The ability to collaborate with remote experts and we are seeing increasing activities in this segment. For example, in Q4, we announced that Iristick, as a European company, has designed macro display optical modules for these smart glass products. For 3D metrology applications, our unique ferroelectric FLCoS microdisplays are very suited for industrial 3D automatic optical inspection, which we call AOI equipment. Due to the increasing quality requirements of the complex of the tri-circuit box using the coming generation of electric vehicle and 5G form, 2D AOI inspection machines are now being replaced by 3D inspection machines. This market is still in the early stages of growth. Our main competitor in these applications is Texas Instruments, DMD, digital micromirror device. The two market leaders currently have similar market share. With their both industrial wearable revenue at 3G metrology, we continue to grow in 2021 and beyond. However, revenue from sales of our products for public safety applications were down in the fourth quarter of 2020, which we believe was attributable to the negative impact of COVID-19 on municipal budgets. We expect this segment will recover in the second half this year. We also recently announced that HMDmd located in San Diego, California, and Kopin have entered an agreement to develop a specialized precision surgery headset for a major medical technology company. These are initial entries into the expanding use of AR headsets for medical applications.  In the fourth quarter, we received our first production order and began shipments of our 720p patent-pending duo-stack, ColorMax OLED microdisplays, with high brightness and color fidelity combined with low power consumption. High brightness and color fidelity are critical for high-performance AR, VR, and mixed reality headsets. We also announced our writing, 2.6K and 2.6K micro OLED display microchip. We incorporated in Panasonic VR glasses, which should you see at 2021. The Panasonic VR glasses are the world's first high-dynamic-range capable ultra-high-definition VR eyeglasses and offering stunning life-like images. The glasses have a rare small form factor. Thanks to our advanced 1.3-inch display and our proprietary slim pancake optics developed by 3M and Kopin, making a much smaller and lighter than large bulky headset traditionally and commonly used for VR. The glasses offer feature has assigned to integrate ultra-high fidelity audio which combined with a super-high resolution micro OLED display, creating a truly amazing – amazing standard sensory experience of using – for viewing sports, content, or games. We are very excited of our products and believe all these wins in defense, industrial, medical, and consumer AR/VR which we have grown in 2021 and beyond. Kopin has always been a very innovative company. We continue to be a leader in the next generation of microdisplay technology. An example of this is our recent announcement of a multi-year agreement with Jade Bird Display to develop super-bright monochrome LED microdisplays. Jade Bird Display based in Shanghai, China is a leader in microLED displays. Under the collaboration, Jade Bird Display will provide the LED wafers and hybrid bonding service on Kopin-designed and supplied silicon backplane wafers for monolithic 2K x 2K LED 1-inch diagonal microdisplays. This will be the most advanced microLED display in the world. MicroLED displays provide the promise of super-high brightness microdisplays, especially useful for many AR applications. We have five red color maps for LED and our microLED displays now being developed. With a key enabler, all we see is the coming wave of AR/VR products in defense, enterprise, and consumer applications. Kopin offers the largest range of leading microdisplay technology in the world for AR and VR.  As expected, this system is adopted with 30 different followed by industrial enterprises, medical, and then consumer applications. Almost all of our developed programs are related to AR/VR applications. We can make great progress in executing our strategy to improve the performance in all aspects of the company. Rich will cover the financial details of the quarter and the full year 2020. However, I want to end by sharing how pleased I am to match our strong revenue growth with significant quarter line improvement by still significantly increasing our R&D activities. In fact, in the fourth quarter we achieved possibility in generating cash, blackballing revenue by 50%. I want to convey, we will remain profitable. I do want to convey that we will remain profitable throughout 2021. As we are ramping up several new defense protection programs and we'll continue aggressively to invest in our microLED and micro OLED displays, as well as their optics and specialized electronics. It is very encouraging to see the progress we have achieved across the board, in our technology, in our operations, and in our financial strength. We look for this trend to continue. Now, I will return the call to Rich to reveal the financial details.
Richard Sneider: Thanks, John. Beginning with the results for the fourth quarter of 2020. Total revenues were $13.9 million, compared with $8.7 million in the fourth quarter of 2019, a 60% increase year-over-year. Product sales for defense customers increased in the fourth quarter of 2020 compared to 2019, due to an increase in shipments of our Family of Weapon Sight Individual or FWS-I program. FWS-I revenues increase in 2020 over 2019 by 177%. Cost of sales for the fourth quarter was 65% of product revenues, compared to 81% for the fourth quarter of last year. The product revenue decreased as a percentage of revenues in 2020 as compared to 2019, due to higher volumes and improvements in the [indiscernible]. R&D expenses in the fourth quarter of 2020 was $4.4 million, compared with $2.7 million in the fourth quarter of 2019, a 65% increase. Funded R&D expenses for the fourth quarter of 2020 increased 87%, as compared to the fourth quarter of 2019, primarily due to an increase in the number of defense-related contracts we've been awarded. SG&A expenses were $2.4 million in the fourth quarter of 2020, compared with $4.5 million in the fourth quarter of 2019, a reduction of 47%. SG&A for the fourth quarter of 2020 decreased as compared to 2019, primarily due to a decrease of $1.2 million in professional fees and $0.5 million in bad debt expense. Other income was approximately $286,000 in the fourth quarter of 2020, as compared to an expense of $3.7 million in the fourth quarter of 2019. In 2020, we recorded approximately $300,000 foreign currency gains, compared to $200,000 foreign currency gains in 2019. In the fourth quarter of fiscal year 2019, we recorded non-cash $600,000 on equity investments that was offset by an impairment charge of $5.2 million on an equity investment. Turning to the bottom line, our net income material to controlling interest for the quarter was approximately $1.3 million, $0.02 per share, compared with a loss of $7.3 million, or $0.09 per share for the fourth quarter of 2019. Here are the results for the full-year. Total revenues for 2020 were $40.1 million, compared with $29.5 million for 2019, a 36% increase. Product sales for defense customers increased in 2020 compared to 2019, due to an increase in shipments of product to the FWS-I program and the Joint Strike Fighter program. FWS-I and Joint Strike Fighters revenues increased in 2020 over 2019 by 167% and 139% respectively. Cost of goods sold for 2020 was 75% of product revenues, compared with 103% of product revenues in 2019. Cost of product revenues decreased as a percent of revenue from 2020 as compared to 2019, primarily to improve yields from our manufacturing process. In addition, 2019 was our initial production of FWS-I program and we experienced an initial yield – low yield on the program. R&D expense in 2020 was $117 million, or a 13% decrease, as compared with $13.3 million in 2019. Funded R&D expense for 2020 increased as compared to 2019 primarily due to an increase in number of defense-related contracts we awarded. Internal R&D expense for 2020 decreased as compared to the prior year primarily due to licensing of certain products earn stock programs being curtailed. SG&A expenses were $11.8 million for 2020, a 45% decrease, compared with $21.3 million in 2019. SG&A for 2020 decreased as compared to 2019, primarily due a decrease of $1.2 million in non-cash stock-based compensation, $2.9 million in professional fees, $1.3 million in bad debt expense, $1.6 million for product promotion and marketing expense, and $700,000 for travel and related expenses. Other income expense was income of $361,000 for 2020, as compared with the expense of $2.9 million in 2019. In 2020, we recorded $300,000 of foreign currency gains, compared with $200,000 of foreign currency gains recorded in 2019. In 2019, we record a non-cash $1.4 million gain on equity investments and an impairment charge of $5.2 million on an equity investment. Turning to our bottom line. Our net loss attributed to controlling interest for 2020 was approximately $4.4 million, or $0.05 per share, compared with a net loss of $29.5 million, or $0.37 per share, for 2019. 10% customers for 2020 were DRS Network Imaging Systems LLC at 35%, Collins Aerospace at 25%. Fourth quarter and year-end amount depreciation and stock compensation are attached to the table at the year-end press release. In the fourth quarter of 2020, we issued 1.9 million shares of our common stock under our at-the-market, or ATM, equity program for $4 million in gross proceeds, or $2.05 per share, before deducting broker expenses of approximately $100,000. The net proceeds from the sale of the common shares are used for general corporate purposes, including working capital. In January of 2021, we sold 2.4 million shares of common stock, the gross proceeds of $16 million, or $6.66 per share, before deducting broker expenses paid by us of $0.5 million. This completes our ATM program. The amount discussed above are based on our current estimates and listeners should review our Form 10-K for the year ended December 26, 2020 for any possible changes, and of course, additional disclosures. And with that, operator, we'll take questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Glenn Mattson from Ladenburg Thalmann.
Glenn Mattson: Hi, good morning, and thanks for taking the question and congrats on the results.
John Fan: Thank you.
Glenn Mattson: So, here first on the defense business for the FWS-I, you mentioned the $23 million award that's going to ship through Q3. But was there a bit of a budget flush related to that deal? Can you give us a sense of how much is left as we go into 2021 from that contract?
Richard Sneider: No, I don't think we'll disclose the actual balance due. But we have a shipping schedule through October under the current deal.
Glenn Mattson: Okay, great. And then as far as you highlighted three programs that you think are likely to begin ramping in the second half and then beyond. Can you give us a scope? You've said it before, but maybe just refresh us on how big collectively they are and it seems like maybe the day scope would be the biggest. Can you give us a reminder of just what the size and – the general size of that program could be?
Richard Sneider: Well, as it affects 2021 results, they'll come into the second half of the year and it's going to be low-rate initial production. So, I understand you asked about the total program, just give you the 2021 results. So we're not expecting significant revenues from those programs with the exception of one. One possibly could be meaningful this year, but they'll all be low-rate initial production to start off. And there – as John said in a press release and prepared remarks, they're really designed to propel our 2022 growth. Now, turning to the specific programs, if you use FWS-I as kind of benchmark, the day scope could be significantly bigger, and then the other programs are probably slightly less.
John Fan: Yeah, Hi, this is John. I would like to make a comment on this, is that our programs are really divided in several areas. For the avionics like F-35 or our rotary aircraft, both pilot's helmets are very sophisticated, very expensive. The performance is quite low. However, for the day scope or FWS-I for soldiers, so their quantities, in many ways, are similar to the quantities for the enterprise applications. They are talking about tens of thousands dollars a year. So, these are very significant quantities. The types of kinds are would be lower. I will assume is lower, but normally, very large. So we had to pick ourself so there may be a high-quality samples for avionics. Also, high volume of samples for soldiers. And that allows to learn both sides of the equation.
Glenn Mattson: Great, thanks for that, John. And then perhaps shifting over to the industrial consumer side, you highlighted industrial wearables and 3D metrology. And obviously, those are – the thought process would be those would come before consumer, right? But it does seem like perhaps we're at a moment where there's a consumer – I guess when I look at the Oculus device, I know you're not in that, but it does feel like that VR headset has made significant inroads with the consumer. What has impressed me the most with it is how many – how many games, how many programs have been written for the device, and just, in general, the quality seems to have taken a step up for a bit. So, I guess my question is, John, do you see this as maybe like a significant shift in the market and a significant moment where maybe kind of like an iPhone moment where over the next few years, there'd be a lot of devices coming out and the VR market could really take off from here?
John Fan: Yeah, correct. It's very, very good question. I think the time to really align our strategy is worthwhile, it's really the market right now. They first were used in defense. It's all AR and VR related. They were – they will get – they pay higher price, but they want high performance. Then with the enterprise like RealWear and whole bunch of smart glasses, Google Glass included. And then we assume medical. We assume to keep specialty medical AR glasses. And people will also build because, you know, not only that we have good display in electronics and optics, but we also would know about economics. But now we see – begin to see the replacement, but not replacement, but I will say high-end type of oculus glass. Panasonic is a very good example. The Oculus glass or Quest 2 is a very good device. I'm actually amazed how good they are. And they're just selling quite a lot. I think they sold about a million units last quarter, the fourth quarter. But they have problems, too. I mean they are too heavy, too big. It has good image. Basically, people want better image. It is pretty fast, but still has latency. Okay. So there are other things out there. And obviously, they're going to improve. But I think Panasonic and several other companies now are trying to put a jump on it. And the market where you be doing a quantum jump, the market would not be a 1 million a quarter it could be who knows. The number would be very big. And that's why we are targeting it now. And I don't think it's that far away. My prediction is maybe a – maybe next year you will see some – end of this year or beginning next year. Panasonic is definitely playing for that. So, the game-changer will come.
Glenn Mattson: That's great color, John. Thanks. I'll step back in the queue.
Operator: All right. And we will take our next question from Kevin Dede from HCW.
Kevin Dede: Good morning, gents. Thanks for taking my questions. I think the big elephant in the room, John, is – and I think I understood you correctly, regarding where you think Kopin will be positive for the balance of this year, did I hear that correctly? Could you add some more color to that and maybe give us some revenue boundaries on how you expect that to happen given that most of the new stuff you're speaking to, the three new programs, are coming on to bolster second half 2021 revenue?
John Fan: Yeah, I only have a few comment, then I will leave it to Rich to talk about it. I mean we have three new program coming in. From the experience we have on the FWS-I, which is going to really [stopped] production last year, 2019 actually, and then go to full local production in 2020. There are learning curve to be paid. So, we are now putting in new equipment and new process in there. First, going back to the question that Glenn asked. That AR/VR adoption cycle, especially for consumer, has been really brought in. We are really talking about – these brought in between three years because of pandemic. So accordingly, we actually increased our R&D. We have told that to people. And I think all these things make use to this year. I'm not entirely certain about – we're still feeling much better, continue to still get better against last year. And I think Rich would take comment on that. Rich.
Richard Sneider: Yeah, and just to clarify. John indicated that he was not expecting profitability for the year. That's not in our forecast right now. Surface, it’s kind of a little light on Q4 where the revenue came out very, very strong. But I understand that it is a little bit of P&L. R&D revenue was very strong. And as we've announced, we have a number of collaborations going on to develop the technologies for the new products. And one of the issues with that is that it's pretty expensive. These are customer-funded development programs, and most of them are. As we have said, our subcontractor invoices us. We essentially could tap that invoice, approve to the customer, and fills up as our revenue. And so – and since it was year-end, we had a number of vendors who created a significant number of invoices. So, frankly, their revenue was a couple of million dollars higher than we probably would have expected. But that was really half of revenue from contractors. Now, we do get a margin on that number which could help profitability inflation. So that was one of the factors that drove our profitability. The risk margin improvement was a result of our efficiency efforts. And according to John’s point, the learning curve on FWS-I tells us to be partners with the learning curve on these new programs because we are still in this pandemic situation and we still have to continue to work with our supply chain. We actually have the same type of issues that we saw a year ago. From time-to-time, we do get a notice that some supply is slowing down. And so – which actually does make our results even more impressive that, in the pandemic, we were able to produce results that they were. But – so, we're being cautious. And as John indicated, we are still investing significantly in MicroOLED and MicroLED because that's where the big money is going to be in the future.
John Fan: Yeah, I think a good point to make is that MicroLED is one of the hottest things right now people are pursuing. We're obviously are involved before and some R&D on it. And we efficiently get. We also have many contractors developing these tools that are still putting out.
Kevin Dede: Okay, John. And thanks for it. Appreciate the color. I apologize for misunderstanding the prepared remarks. Could you dive in a little bit on the yield improvement? Obviously, it's tied into your commentary regarding FWS-I. But I'd like to understand a little bit more about that and I'd like to understand how you expect that improvement to translate to some of the other programs you're working on, primarily in the enterprise side. Because I think I've lost track of which technology you're using there.
John Fan: Yeah, I think it's a very good question. FWS-I is really different from the F-35 program. F-35 program is entirely most our product in that they are – there are deliver is a display. The FWS-I is a full eyepiece, basically. We have display, optics. They are there from [indiscernible] to assembly. So we have to go to a whole different type of profit, R&D control, and this unit is also very different. F-35 makes a few thousand a year. Now, we spend a thousand a year for FWS-I. So, we have different types of process to be done. Now, the mystery color in coming in are barely – are mostly like the FWS-I. So, we have learned the lessons, but they are different products, and none of them are the same. So there are different products that would be – and we believe in test and different some learning curves today. But we have to [indiscernible] classes, start here, looking at FWS-I. It's valuable to test the product by design.
Kevin Dede: Okay. Is FWS-I based on LCOS technology? I guess maybe that's the best way to try to get to where I was going.
John Fan: Yeah, the FWS-I is using our proprietary candidate LTG process.
Kevin Dede: Okay. Can you talk a little bit about more – sorry, John, I'm a little bit more about Jade Bird. I understand MicroLED, but what makes you feel or what makes you feel so strongly about that technology emerging as maybe the foremost in the industry? And how do you see it supplanting MicroLED?
John Fan: It is also a very insightful question asked, Kevin. Looks like the situation we're in now. Okay, again, this is my personal view. My feeling in the AR/VR are the first thing to come in the consumer will be VR. The Oculus Quest 2 will indicate that. In the case of VR glass that display they need, I can describe what the display people want about the VR – the next generation of VR. These MicroOLED should be light, but they look like to be super bright, should be extremely fast. At least fast, so no latency, and also beautiful color in a big screen. And slim eyeglass, you can wear on your head. That part, MicroOLED would be perfect. It's perfect. So, our MicroOLED activities, duo-stack and ColorMax is going up. I am a – once you go to AR, especially if you want to go outside, it is so light. You must buy the specs. And the optics in AR is usually not that efficient. The people are looking on much higher price, especially for color. So the color requirement requires the brightness maybe at the margin of what MicroOLED can do. So, there's a lot of activity, 'cause with now, Facebook – and everybody's now on Facebook [indiscernible]. And the same person leading this, they are based in China, but they are very aggressive. So we have the technology. Potentially, with that in place, the color, our best frame, high speed, all the designs are unique. And so cost and [indiscernible] too much LED [indiscernible]. I think this is key in all the AR come there real. I think for Jeff, I think AR will still be just leader consumer with answer [indiscernible]. And you need – it's MicroLED for AR.
Kevin Dede: Okay, that helps, John.
John Fan: Yeah.
Kevin Dede: Yeah. So, are you at all concerned about – I mean using your backplane ICs in that environment, are you concerned about maintaining control over your intellectual property?
John Fan: Well, I – as you will know, Kevin, once you make a design to IC and process IC, so you deliver the – the design for people to deposit layers on it. There's no way it became really – easily with this engineer. That's why people like to do that. That's why all the foundries – give some as well. That was the very [indiscernible] County designed it and they invested – they even let FMC to process the wafer, but it's very, very hard to reverse engineer the design once you study.
Kevin Dede: Okay. And then can we talk a little bit about –
John Fan: So, it's a little bit wafers to any countries whether it's Asia, I think China, or Japan? The wafer is already made or redesigned by Kopin.
Kevin Dede: Right. Right.
John Fan: In United States, it was even designed outside United States.
Kevin Dede: Okay. Yeah. You know, thank you for reminding me. I, you know, I – I wasn't exactly sure, you know, you had intended to make the wafers there. I get it, so thank you for clarifying. Can you give us maybe an indication on how you see that development path going? How long do you think it’s before you'll have maybe, you know, beta displays that you could ship to customers for tests?
John Fan: For the LED? Yeah.
Kevin Dede: Correct.
John Fan: For the micro-LED, it's a very interesting thing. I mean, we – I'll reiterate you saw as we just get program like take about five years. So, our customers – and they kind of say, no, no, no, we want it earlier. So, that's why we increased our activities. In doing so, we had to pass some of the functions which we would think about doing ourself to panels which is not that critical that IT person into which pass on time [indiscernible]. So, if we might speed up the whole thing, well, hopefully, to get it down in last two years or so.
Kevin Dede: Wow. Okay. Well, congratulations on that. I think the – sort of the other thing is just sort of general demand within the enterprise. I mean, you talked to safety be down on account of municipal budgets. Do you think that's sort of a post-pandemic resurgence or do you think that doesn't come back until the second half next year or sorry, second half of this year as well?
John Fan: We think that – so, I think that the major account we have, which I can really cool people right through here. It slows down, I think they're selling domestic and the municipal budget obviously has been heard. But they predicted it would come back up in the second half. But we're seeing other activities now on this area for other countries – other companies. So, I think this will continue to grow, especially by 2022 and beyond. So, this is still very good segment to focus on, yeah.
Kevin Dede: Okay. I'm going to give you a break, John. Last question from me. Can you talk about some of the end products, the RealWear is designing and the success that they are having in the end market and how you see their projections?
Richard Sneider: What you do is just contact RealWear to talk about their business.
John Fan: Yeah. They are very active in their website and the newsletters. They're obviously very successful right now and we work with the full supply to them. We know they're good right now. Let's cheer for them.
Kevin Dede: Okay. Fair enough. Thank you very much, gentlemen. I appreciate you entertaining my questions.
John Fan: Yes.
Operator: Thank you. [Operator instructions] We'll take our next question from Denis Pyatchanin from Needham & Company.
Denis Pyatchanin: Good morning. Thank you for taking my question. I wanted to ask a few on behalf of [Raj Gill]. So, regarding the – the AR and VR initiatives in progress, you guys mentioned that the first kind of group of adopters would be industrial, enterprise, and medical I mean, if you had to pick kind of a one out of the three, which one do you think would be most likely to kind of be a first adopter and what kind of applications would they use these products for?
John Fan: Sorry, can you repeat the question? I just want to make sure I answer exactly right.
Denis Pyatchanin: Sure. So, I think you'd mentioned in the press release that in terms of the kind of AR and VR first adopters of kind of – in the first group, you would be basically looking at kind of industrial, enterprise, or medical customers. Could you – if you had to pick one out of those three, which one do you think would be the most likely big first adopter of the AR and VR technologies and what kind of applications would they use them for?
John Fan: Okay. So, I will answer AR first, Okay? The AR, I would say that applications side RealWear were most expert is definitely the first one is coming out and we have software-hardware provide productivity for the workers, especially with mobile workers. That one definitely coming in first and Google Glass is also focused on that. Yeah, you all know we are the social card to Google Glass' [indiscernible]. The second one, I actually doubt, become more thinking now, maybe is medical. There's a need there. I couldn't believe how surgeons really desperately want it. So, that – don't be surprised now. There's some FDA-kind of requirements there, so we don't know how long this certification process will go. But the advantages is definitely better, Okay? So, I definitely see it. Now, for the consumer side, I honestly did not see that to act yet for the consumer until maybe later. Hopefully, Apple will do something for us. On the VR, it's very clear. We always have been using that for training, Okay? We were, you know, military training, pilot training. So – and also soldiers training. And once a job's training for this – for the workers. And achievements for education, a lot of people are using it for education. But my really soft spot is to games. Games, sports, contents, watching, the IMAX theater, between the fantasy world. I think that is the real big consumer applications after the enterprise and the training and military. So, I really think it's a game-changer. Yes, we have not in – holding their [computer in hand], as you well know, Apple's products was probably a lot two years ago – 10 years ago is the transistors for cellphones. The cellphones are a hand-held computer. I can time for – hence, fully on the head, wearable. It's here and we were trying to help the second transformation right now. And it has many applications. You'll love it.
Denis Pyatchanin: Great. Is there – could you provide a little bit more color on exactly what kind of applications out of the surgeons will use kind of the AR products for? Is there anything you can talk about more specifically?
John Fan: Well, that obviously, I cannot talk about because, obviously, the style that we're working there. A major medical company will be, you know, identified. We – and we announced the last time, a few months ago, we actually do the initial set and they try a 10-day trial of surgeons before we actually identify how to build these products. So, we have gone through at least trial period, and if it is it, I can't talk about it obviously for proprietary reasons.
Denis Pyatchanin: Understood. I think –
Richard Sneider: What we can tell you though is that fairly – in a lot of the medical applications, the doctor is looking literally up at a monitor. And so, the idea is to be wearing a head – a head-mounted system where you're looking at the patient and then using the head-mounted system to be able to obviously focus on very specific tasks. So, that does it. The numbers of studies would tell you. Hey, but when we're at, it actually is good that the doctor is looking at the patient. They find it as benefits to that.
John Fan: Well, I think that all new technology of this type with solid style will focus on some functions denied before you can have one to satisfy everybody. So, that medical – especially even medical area will figure out the best way to – to satisfy one something in medical which is surgery.
Denis Pyatchanin: Understood. Thank you for all that. That was helpful. And then, I guess, the last question that I have is, are you – are you able to provide any kind of color on your gross margin profile by category. So, kind of like, you know which of your categories is above kind of corporate average? Which is below or any kind of details like that?
Richard Sneider: Military, when the programs reach steady-state, historically our 40% or better. Industrials in the mid-30s, and then consumer really can go anywhere. It can go into low-20s and 30s. It really depends on the size of the – of the market segment. Consumer defense, you know, the absolute-dollar-versus-percentage-type of situation. So, we'll, you know, and you take a lower percentage, the absolute dollar is so much greater.
John Fan: And with Apple. The Apple-changing [place]. So, it's very interesting. It is still a new area, like the whole area of going from hand-held to hands-free. So, at the beginning, there's two large technology and for our investment. And you try several methods, some of them may not exactly worth it to proceed and you repeat – or pivot again. But the last five years, you can see that the image become clear. And what we are trying to do is we're – we're not trying to make a final device, even in a medical surgery headset. We design for them and they could market it and they could do. So, other company's market. We will wear the same way. The [HMD-1], its entry designed in here and we licensed them and they're very successful. They use our display with – with the optics, designed electronics. I – I think it's all very good. It's a win-win situation for everybody. So, I want to make people know that we are not just a display company, we are display as a whole. That we now have optics, electronics, ergonomics, and also, we know because of the military reasons, we already know how to – half that ship is done and how to keep it long. How it can be used and rig it, so everybody – many people have come to us and I say, hey, why don't you just build the whole thing, license it, and we'll sell it. Which is great, but you have to use our display.
Denis Pyatchanin: Got it, John. Thank you for that. So – and Richard just a follow-up really quickly. So, for the R&D or in the licensing works, I think that that's almost all pure profit, close to 100% of margins on those?
Richard Sneider: I'm sorry, you broke up a little bit. Could you repeat the question?
Denis Pyatchanin: Yeah, sure. Just to follow up on the gross margins. That – so, would R&D and the licensing royalty will then be almost all pure margin around in 90%-plus.
Richard Sneider: The royalty is pure profit. There are margins on the R&D contracts. And, you know, the margin varies by contract. We try to look for contracts that fit along our technology roadmap. And so, sometimes, you know, as long as the contract just pays for itself, that's good enough for us because it's providing valuable technology. Because in most cases, we retain the technology right to what's developed. So, essentially, we're getting it funded for free.
John Fan: Yeah.
Denis Pyatchanin: Got it. Perfect. It's definitely what I was looking for. Thank you, gentlemen.
John Fan: Yeah, I –
Denis Pyatchanin: Go ahead.
John Fan: Yeah, I think we did pick our business model. As we begin, we'll see more people asking us to help them to design – to design for them. So, when we usually have – with our R&Ds and royalties. And actually, many times, we even have equities together with selling products to them, and also they're [indiscernible]. But the government is the same way. Those are new programs or have computer eyepieces or maybe even computer head device, the whole headset. And yeah, they're very, very sticky. So, therefore we are almost also soft now.
Denis Pyatchanin: Got it, John. Thank you. Those are all the questions that I had. I will jump back in the queue. Thanks.
Operator: [Operator Instructions] And we'll take our next question from Craig Rose from Axiom.
Craig Rose: Hello, John. Craig from Axiom. What can you tell us about Solos, the progress you've made there, the product that you recently introduced? And then how do you see the trajectory of the advancements of that product in the future?
John Fan: Which part you have in mind? We had it so –
Richard Sneider: Solos.
Craig Rose: You know, the – the smart glasses. The Solos, the AR glasses.
John Fan: If I actually – I – [indiscernible] the team hard. And I have to say, I've been wearing Solos every day at home. And this generation, the first generation of Solos as I use for listening music, making phone calls, and making Zoom calls. I'm very grateful of Zoom calls. It's very good for Zoom calls. And I hate to say, I no longer use my Apple AirPod, everything to have it. I have Apple AirPod, I don't use it anymore. So, anyway, that product is the first generation, it's a test market. They test marketed in Asia for a few months. But then the pandemic has slowed down – slowed them down a few months. But it come out last summer in Asia and it sold six thousand 6,000 units. Just test market and we've got lot of feedbacks and we can see the second one, which I can't reveal yet. The second one is a game-changer. Nothing like in the market is going to be ever like that. A product two or three years ahead of everybody. So, I'm very excited about Solos. I think Solos is just like RealWear. I can understand now – understanding a unit. And we licensed Solos, of course. Solos we got the license for them, we – with fairly significant equity and we are cheering for them.
Craig Rose: Would we – would we –
John Fan: Oh, I tell you. Actually, the second generation to come out, I think everybody will use it.
Craig Rose: Would we expect the next-generation product to have screens or would it still go along the lines? I mean, I know you've discussed the idea of baby steps introducing such a new product. So, how do you think that moves forward?
John Fan: It’s a very – I mean, remember our first product was – had a screen with a display, right? And because we're a display house with Google Glass and everything, and then we learned from the house this is good. This is too aggressive at the beginning. And we stripped it out. And once we do that, we found something that would never occur to us. Think of you hear and you speak three times faster than you can read or type. So, voice is the next screen. So, you look at all the product out there, lots of them are voice-driven now. And the AI allows you to do that, to search everything. You get by 80% what you need with voice, and it's invisible. So, we would say, wow. Sooner or later, you will screen on it, but that's away for a couple of years and get the audio right. So, yeah, I – I think sooner or later, you may want speaking at a display house too. So, I think the voice will go off for the next three years.
Craig Rose: Okay. And do you think a Gen 2 product would be, you know, is that a 2021 event or is it 2022 event?
John Fan: In the next couple of months. We will catch you on Christmas.
Craig Rose: Okay. And last question. You have a lot of equity interest in companies like RealWear, and you know, the companies just spun off, Lenovo, a bunch of others. Could – if those companies such as RealWear go out and it is more of an accounting issue. If they go out and have funding rounds, are you required to update the value of your shares or your equity interest in that company based on the newest funding round?
Richard Sneider: Yeah. We mark-to-market the investments and to the extent to do an equity round at arm's length as the real price, then we would update our evaluation.
Craig Rose: Okay.
John Fan: Yeah. I think it's a hidden treasure. Yeah, it's like a hidden treasure.
Craig Rose: Okay. All right. Thanks for answering the questions.
John Fan: Thank you.
Operator: And it appears there are no further questions at this time.
John Fan: Well, thank you very much for joining us today. And we are looking forward for the next meeting with you. Thank you, all.
Operator: Thank you. And that does conclude today’s call. You may now disconnect.